Operator: Good afternoon, and welcome to the Qnity Business Update Conference and Webcast Call. [Operator Instructions] Please be advised that today's call is being recorded. [Operator Instructions] I will now turn the call over to Nahla Azmy, Vice President of Investor Relations. You may begin.
Nahla Azmy: Thank you. Good afternoon, and thank you for joining Qnity's business update call and a review of our estimated third quarter 2025 results. This morning, DuPont reported its third quarter performance, including the Electronics co-segment results, which do not include our full allocation of corporate costs or pro forma adjustments. Qnity's earnings are not yet final, and our remarks today are based on estimated pro forma results and carved financials. We anticipate releasing our full earnings results mid-November when we file our Form 10-Q, including posting additional supplemental information to the IR section of the Qnity Electronics website. I would like to bring your attention to Slide 2 in our presentation, which notes that we will be discussing forward-looking statements. These statements represent our best view of predictions and expectations for the future, but numerous risks and uncertainties may cause actual results to differ from those provided. Additionally, we will be discussing certain non-GAAP financial measures. The reconciliation of these non-GAAP financial measures to the closest GAAP measure can be found in the appendix of the presentation. As for the agenda, we will start with formal remarks by Qnity's Chief Executive Officer, Jon Kemp; and Chief Financial Officer, Matt Harbaugh. We will then follow with a Q&A session. Now it's my pleasure to turn this over to Jon Kemp. Jon?
Jon Kemp: Thanks, Nahla. Good afternoon, everyone. Thanks for joining us. It's an honor to speak with you today for the first time as CEO of Qnity following our spin on November 1. This moment marks more than the launch of a new company, it's the beginning of a bold chapter. I want to take a moment to thank DuPont, our Board of Directors and the Qnity team whose dedication, vision and hard work made the spin and successful launch of our new company possible. Over the past few weeks, Matt and I met with many of you. Thank you for the opportunity to share Qnity's compelling story and for your insights and support, as we crossed the finish line for the spin. While the company is new, it's built on more than 50 years of technology and innovation leadership and our deep and lasting customer relationships continue to be one of our greatest strengths. Over the past few months, I've had countless conversations with customers around the globe from chip fabricators to leading OEMs. And what's clear is that Qnity is seen as a trusted partner with the scale and technical depth and breadth to enable their next-generation technologies. We've worked hard to earn their trust and their confidence, and it's a testament to the impact our teams are making. It reflects the depth of our commitment to delivering the latest technology innovations at an exceptional level of quality, coupled with both speed and reliability. Let's turn to Slide 4. As you can see, we've had a big week. As planned on November 1, we completed the spin and launched Qnity as an independent pure-play electronics company focused on solutions for the semiconductor value chain. On November 3, we started regular way trading on the New York Stock Exchange under the stock ticker Q, and we joined the ranks of the S&P 500. When we spoke to you at Investor Day in September, we told you about our strategic path and operating model to achieve above-market growth and strong profitability. The third quarter results we're sharing today are solid evidence of our ability to stay focused and continue to execute during transformational change while also delivering for our customers and driving consistent financial performance for shareholders. We've delivered 6 consecutive quarters of sustained strong organic growth. We're continuing to build momentum and invest in the fastest-growing, highest margin areas with a robust innovation pipeline, a true competitive advantage. And we're making meaningful progress shaping a culture that keeps us focused on what truly matters: our customers, innovation, speed and our people, empowering us to deliver with purpose and agility at a pace our customers require. With that foundation, let's dive into our third quarter performance, where the results speak to the power of our execution and the value we are creating. We had solid third quarter results driven by AI-related customer demand from advanced nodes, advanced packaging and thermal management. On a year-over-year basis, net sales were up 11% at about $1.3 billion, with organic growth up 10%. Our results include spin-related timing adjustments on orders contributing to a 3% lift in the quarter. Our estimated adjusted pro forma operating EBITDA was up 6% in the quarter year-over-year, which equates to an estimated 29% margin. These preliminary results reflect the strength of our portfolio and the continuing wins in leading-edge innovation we're delivering to customers, making us their partner of choice with a broad range of offerings and deep application engineering expertise that enable true end-to-end solutions. Based on the strength of our third quarter results, we're raising our 2025 full year net sales guidance to $4.7 billion. We're also reaffirming our estimated adjusted pro forma operating EBITDA of approximately $1.4 billion and margin of roughly 30%. Before I turn things over to Matt, let me cover a few macro trends we're seeing broadly across the industry. The semiconductor market recovery continues to be fueled by the adoption of leading-edge technologies for AI applications, including advanced logic, high-bandwidth memory, advanced packaging and thermal solutions. We believe customer utilization rates have improved slightly since last quarter, averaging in the high 70% range, led by advanced logic in the high 70s and DRAM in the mid-80s. More recent customer feedback suggests slow improvement in mature logic, although still in the mid-70s. And while NAND commentary has improved, overall utilization has remained steady, also in the mid-70s. MSI wafer start data remains a good indicator for Qnity's demand, given that about 90% of our portfolio is made up of consumable products that are used with every unit produced. We expect MSI to grow mid-single digits this year. We continue to outperform wafer starts driven by our leadership position in next-generation technologies, such as CMP pads, cleans and slurries; advanced packaging with metallization and substrates; and thermal applications at the chip, package and device level. With strong company performance and improving semiconductor demand signals, let me turn the call over to Matt to share a more detailed look at our third quarter preliminary results.
Matthew Harbaugh: Thanks, Jon. Today's preliminary results reflect anticipated recurring stand-alone public company costs, carve-related items and management adjustments similar to prior quarters disclosed in our Form 10 and the accompanying supplemental information. These reconciliations and bridges will provide a clear view of our underlying performance and the impact of our ongoing transition to a stand-alone public company. In the third quarter, we delivered net sales of $1.3 billion, up 11% year-over-year with 10% organic growth and 1% benefit from currency. The major drivers fueling this growth were advanced nodes, advanced packaging and thermal management, including AI-driven applications. In addition, order timing contributed approximately $40 million in net sales from the fourth quarter into the third quarter in advance of our IT systems transition prior to the spin. Sales in the Americas and Asia were very strong for the quarter in both segments. China net sales in the third quarter were 31% and flat versus third quarter 2024, in line with normalizing trends. Preliminary adjusted pro forma operating EBITDA for the quarter is estimated to be approximately $370 million, up approximately 6% year-over-year, including a 2% currency headwind. EBITDA margin was approximately 29%. While volume growth was strong, margin expansion was tempered by net sales mix where interconnect solutions grew faster than semiconductor technologies, but at lower average margins in the mid-20s as a percentage of net sales. Additionally, we made selective growth investments to improve both R&D and supply chain capabilities. Let's shift to our business segments on Slide 6. The Semiconductor Technologies segment posted $692 million in net sales with volume growth of 9% and estimated adjusted pro forma EBITDA margin in the mid-30s. This was led by end market demand strength, as we benefited from content gains in advanced nodes, share gains and improved customer utilization rates, as Jon mentioned earlier. Our Interconnect Solutions segment delivered higher-than-expected net sales of $583 million with volume growth of 15% and estimated adjusted pro forma EBITDA margin in the mid-20s. This growth was led by strength from AI-driven technology ramps, including advanced packaging, high layer count PCBs and thermal solutions for data centers in addition to growth from other industrial end markets such as aerospace, defense and automotive. While the broader semiconductor market is still recovering, we saw accelerated growth across several parts of our Interconnect segment, highlighting the strength of our portfolio diversification across the entirety of the semi and advanced electronics value chain. As we look ahead, our fundamentals remain strong. 2/3 of our portfolio is directly tied to semiconductors, including chip fabrication, advanced packaging and thermal management. About half of our net sales are driven by chip fabrication, where we are already a key player, especially in areas like CMP pads, cleans and slurries as well as lithography materials. These areas are critical enablers of AI, high-performance computing and advanced connectivity, and they will continue to fuel our growth. To ensure our results are transparent and comparable, we will provide detailed reconciliations between our results from the third quarter as a business segment within DuPont, bridging to our pro forma adjusted operating EBITDA for Qnity at the time of our 10-Q filing in a few weeks. Now let's turn to the fourth quarter and our full year guidance. While our third quarter net sales were exceptionally strong, it's important to remember that approximately $40 million of the third quarter strength was accelerated due to IT-related order timing ahead of the spin. Considering this a timing effect, our organic growth rate for the third quarter was closer to 7%. Moving forward to Slide 7. On a full year 2025 basis, we are guiding to approximately 9% net sales growth. This outlook reflects our confidence in continued electronics market recovery and our strong execution, but also incorporates a prudent normalization, as the temporary third quarter timing shift will not repeat. As Jon highlighted earlier, today, we are updating our full year guidance to $4.7 billion in net sales and reaffirming the estimated $1.4 billion in adjusted pro forma operating EBITDA, representing 9% top line growth, consistent with above-market growth and an estimated 10% EBITDA growth year-over-year. Adjusted EBITDA margin as a percentage of net sales outlook remains at approximately 30% with continued momentum expected from strong top line growth, mix improvements and productivity initiatives. As I wrap up, I'll leave you with this: As an independent company, Qnity is well positioned for growth. We have a resilient business model, a strong balance sheet and a clear strategy for value creation. With that, let me turn it back over to Jon for his final thoughts before we begin the Q&A.
Jon Kemp: Thank you, Matt. We're proud of the strong third quarter results we've delivered, thanks to the dedication of our teams and the clarity of our strategy. Over the past few months, I've had many energizing conversations, and I want to take a moment to share why I'm so confident in Qnity's future. With our leading-edge technology, deep customer relationships and our global network that provides local-for-local flexibility, we're well positioned to build on this momentum to support our customers' ongoing growth. Leveraging decades of innovation and leadership, you can see on Slide 8, we sit at the heart of the semiconductor value chain. Our portfolio allows us to play a critical role across nearly every stage, including chip fabrication, advanced packaging, PCB builds and assembly and display solutions. We've built trusted relationships with leading global companies that represent nearly 80% of the market. Our top 10 customers have partnered with us for an average of 35 years and 7 of the 10 rely on solutions from both segments, underscoring our reputation as a partner of choice. Turning to Slide 9. Another key strategic advantage underlying our performance is our local-for-local approach. Our manufacturing and R&D facilities are located close to customers, enhancing customer intimacy, strengthening supply chain resiliency and increasing agility to ensure consistent, stable supply. With this footprint and local engagement model, we offer the best of both worlds, close customer collaboration backed by capabilities at scale. As I wrap up on Slide 10, let me highlight our key priorities moving forward. We'll execute Qnity's strategy to drive continued growth by investing in innovation and partnering with customers. We also plan to further optimize our footprint for both cost and complexity, and we will deploy capital to high-value opportunities. With a foundation built on decades of experience, Qnity's strategic vision and performance will continue to build value for our shareholders, customers and our team. We look forward to updating you on our progress and engaging with you in the weeks ahead. Operator, we're ready to take questions.
Operator: [Operator Instructions] And we'll take our first question from Jim Schneider with Goldman Sachs.
James Schneider: I was wondering if you could maybe comment on the sort of high-performance compute and AI segment of your business? Maybe quantify what that was in the quarter? And then if you were to take that in isolation, how fast do you expect that segment to grow or that business to grow over, say, the next 3 years structurally?
Jon Kemp: Yes, Jim, thanks. Obviously, a lot of the growth that we're seeing is coming from the AI high-performance segment. As you think about it, it's one of the several segments in our portfolio. It's worth -- as we talked about at our Investor Day, it's about 15% of the total portfolio. It's obviously growing nicely this year, really through a combination of offerings across both segments within our portfolio, including advanced nodes across both logic and memory as well as advanced packaging capabilities and high layer count printed circuit board. So really nice diversity of applications going there. I think, as I said before, it's 15% of the portfolio today. It is growing nicely. We talked -- the data centers and advanced packaging, we talked about at Investor Day that growing at the high single digits. I think we're a little bit above that this year, but we expect that to continue to be a strong growth driver through the remainder of this year and into next year going forward.
James Schneider: And then maybe if you could help us in terms of framing the business and the seasonality you typically see into a normal Q1. You've given us enough data points in Q4, but I'm just kind of curious how you think about the seasonality specifically in Q1? Normally, what you expect this year? And then maybe any additional help on seasonality as we model out 2026.
Jon Kemp: Yes. Thanks, Jim. If you go back and you look at kind of the history of the business, there's not a ton of seasonality to it. There's a little bit of seasonality where you start kind of from a low point in the year in Q1 and then you increase sequentially into Q2 and then you have kind of a modest peak in Q3 and then you kind of drop sequentially a bit in fourth quarter and then into the first quarter and it starts again. But these are not huge fluctuations. It's really driven a little bit more by the Interconnect segment because there's not much seasonality at all in the semiconductor segment.
Matthew Harbaugh: And I just want to echo -- this is Matt. I want to echo what I said in my prepared remarks. As you're thinking about the quarterly flow, I want you to think about the $40 million that came into the third quarter that would have come into the fourth quarter on a natural basis.
Operator: And we'll take our next question from Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: Congrats on a strong quarter as a public company. I guess, first of all, it sounds like your growth was about 7% year-on-year in Q3 ex the onetime event, but your EBITDA growth was in the 6% range year-on-year. Maybe you can just kind of highlight how that EBITDA growth should ultimately get to maybe a higher level than sales growth? I think you were guiding maybe to 6% to 7% sales growth longer term and 7% to 9% EBITDA growth. So should we see a little bit more operating leverage come into the model in future periods?
Matthew Harbaugh: Well, thanks for your comments around a strong quarter. The way we think about it is we did have higher sales in Interconnect Solutions. Therefore, the margins there are in the mid-20 range, EBITDA that is. And semiconductor was a bit under that. So we had a mix shift that was going on. You'll see in the release the last page, we outlined what the currency effect was on the quarter from a top line perspective. I encourage you to keep that in mind as well. And then we did make some strategic investments in the business during the quarter to set ourselves up well for future quarters and years.
Jon Kemp: The only thing I would add there, thanks Matt, is -- the only thing I would add there is, we remain confident that as we drive additional volume growth, we'll continue to see the operating leverage that we talked about at the Investor Day. I would also just mention third quarter last year was an exceptionally strong quarter. It was actually our best margin quarter going all the way back to mid-2021.
Matthew Harbaugh: No, I was just going to make a final comment. I know you didn't really ask about the full year. But I just want to highlight, if you look at our financial estimates that we reaffirmed, we still see good strong underlying profitability in that roughly 30% range EBITDA.
Arun Viswanathan: Perfect. And just one follow-up would be on the investment side, you mentioned some organic investments and very strong growth in that 15% AI and advanced HPC area. Do you kind of feel like the capacity there you have is sufficient? Or how do you plan to address kind of future capacity needs if that area continues to grow above expectations?
Jon Kemp: Yes. Thanks for that. We've been continuously investing in our portfolio, both from an R&D point of view as well from a capital point of view. Over the last -- most of our capital investments, just to size it for you, R&D is kind of the 7% of net sales and CapEx is kind of 6% of net sales. So in aggregate, kind of that 13% of net sales reinvestment in the business. Over the last 3 or 4 years, we've added capacity to every single one of our semiconductor businesses, planning for kind of the electronics market recovery and coming out of some of the challenges that the whole industry faced during the pandemic. So from a capacity point of view, we're in really good position to be able to support the continued electronics market recovery, and that's contemplated kind of within our guidance range on reinvestment. And then we're really focused on partnering with our customers on exciting node migrations and node transitions over the next couple of years. We typically are working on node transitions that are 2 to 3 years out from now, while we're scaling up the node transitions that we want from investments that were taking place in 2023 and early 2024.
Operator: And we will take our next question from Melissa Weathers of Deutsche Bank.
Melissa Weathers: Congrats on the official spin-out. I'm sure it's a ton of work. So I guess, I wanted to touch on the cyclical side of things. I really appreciate the utilization numbers that you gave across the different semis end markets. So given those utilization levels, can you give us a preliminary, I don't know, sneak peek? Or I guess, what are your assumptions going into 2026 in terms of revenue growth, wafer starts? Do you think that those utilizations will increase? Just any like sneak peek on 2026 would be helpful.
Jon Kemp: Yes. Thanks, Melissa. I appreciate that. As I mentioned in my prepared remarks, we're seeing wafer starts in the mid-single digits for this year, although we've kind of characterized it as being in the early stages of the recovery with most of the strength really coming from advanced logic and DRAM. I think there's still a bit of uncertainty around forecast for next year and the pace of the recovery around both mature logic as well as NAND. As I talked about, we were encouraged by some of the improving utilization rates, particularly in improved -- in mature logic. And we're optimistic that we'll see kind of a return to higher growth rates there, as we move into next year. But I think it's a little bit too soon to call exactly what that's going to look like in terms of quantifying it. What I would say is that as the market recovers, we're -- 35% of our portfolio is exposed to advanced nodes. And that's really what's driving the growth. As we get stronger recovery into the other parts of the market, we'll continue to support the market outperformance above the wafer starts.
Melissa Weathers: Got it. And then for my follow-up, I wanted to ask on the advanced nodes side of things. I think in your deck, you called out node transitions at these advanced nodes. And so in the context of like 2-nanometer gate-all-around nodes that are ramping late this year and then all throughout next year, can you help us size the content opportunity that you guys are seeing? I think you also got maybe some share gains on that side of the business. So any way to help us think about like gate-all-around that transistor shift in the foundry logic space as we move into 2026?
Jon Kemp: Yes. So obviously, we're really excited by the investments and the pace of the logic transitions -- logic and memory transitions. We're well positioned kind of across both logic and memory for future migrations, whether that's in the logic space with 2A or -- with 2-nanometer or 18A transitions or things that are happening on the DRAM side as well. We're excited by that. We've been continuously making investments with our customers, particularly in kind of on the front end of the fab in places like our CMP portfolio with pads, cleans and slurries as well as in the advanced packaging part of the portfolio with the metallization substrates and thermal materials. And we're excited as we've already -- we've seen the benefit of some of those ramps this year that's really allowed us to perform at the levels that we reported. And then as we continue to see more wafer starts start to come into those advanced nodes, that will create even more opportunities for us, especially in CMP. When you go to gate-all-around, the process complexity continues to drive an increased sensitivity to the smoothness of the surface of the wafers as you're trying to manage the architecture of the device that results in more CMP steps and more opportunities for kind of our leading portfolio of CMP solutions. On the memory side, similar opportunities for CMP, but then also the high-bandwidth memory transitions that creates opportunities for advanced packaging, where we're going to see continued opportunities and growth for metallization substrates and thermal, which is kind of where we've seen the most benefit from the share gains this year.
Operator: And we'll take our next question from Bhavesh Lodaya with BMO.
Bhavesh Lodaya: Congrats to the full team here. So as a stand-alone company, I presume it's now easier for you to review your business mix and operations here, makes big nimble changes. You mentioned footprint optimization. Could you share early thoughts on what that could look like? Does it also include potentially divesting some platforms, reinvesting in something else, like changing your mix? Any color there?
Jon Kemp: Yes. So I'll maybe start in reverse order. I'll talk a little bit about how we think about the portfolio and then let Matt talk a little bit about things on the cost side of the house. When we look at our -- when we think about our portfolio, we're really happy with our portfolio. It's continuing to perform very nicely. I think we've talked about before, we continue to be very interested in pursuing opportunities for inorganic growth and some targeted areas like thermal management, advanced packaging, areas where there would be attractive strategic adjacencies with adding additional technologies to our portfolio. We've got a nice set of strategic and financial criteria that we use to evaluate that. And we're really focused on establishing a steady, consistent cadence of performance. And then as we get into next year, we'll look at what opportunities might be available and how we continue to build out the complementary strength into the portfolio. As you think about how we've been managing the portfolio over time, we always evaluate our portfolio based on from an ROIC point of view and based on the potential returns. And you've seen us do a handful of product line trimming over time, and we'll continue to use that same logic to evaluate the portfolio and make adjustments as necessary. Matt?
Matthew Harbaugh: Yes. Thank you, Jon. I think the easiest way for me to answer your question is kind of to do a walk down the P&L. Obviously, you know our viewpoint on net sales. We've talked about that a lot of late. So let's talk about our cost of goods sold. Our team has done an excellent job in taking cost out over time, and we expect that to continue. So we'll see some improvement there. And we'll continue to operate the company and focus on operational excellence and flexibility. Where our opportunities are probably greater would be in the SG&A category, and we're going to look at our footprint and see how it aligns with where the business is going to unfold in the coming years. We have a big effort to reduce our complexity in IT systems, and we're also looking at legal entities and warehouses as well. So a number of opportunities there. As Jon said earlier on the call, we're going to look to optimize our R&D spend, but keep it at that 7% level. So that should give you some color around how we think about it. We haven't quantified the cost takeout, but we certainly know that, that's a real important area to focus on in the coming weeks, months and years.
Bhavesh Lodaya: Appreciate that. And then as a follow-up, Interconnect Solutions continues to grow at double digits here. Can you touch on how advanced packaging and thermal solutions is growing within that? And if possible, any early look into 2026 growth rates?
Jon Kemp: Yes. So obviously, the strength of the Interconnect segment is being driven by advanced packaging and thermal. I would say we saw growth accelerate off of the first half of the year in both of those areas nicely, as we saw additional opportunities to scale up some of the wins and some incremental capacity become available. We saw some of those growth rates accelerate into the third quarter. As we get additional capacity available for these different technologies, we would expect to be well positioned to continue to participate in the growth as we see more wafer starts and more volumes come to these technologies.
Operator: And we will take our next question from John Roberts with Mizuho Securities.
John Ezekiel Roberts: Your trend line growth targets are for semiconductors to grow faster than the Interconnect segment. How do we think about that being flipped here in the recent results?
Jon Kemp: Yes, it's a great question. So typically, I would -- the Interconnect segment has had a lot of opportunity to grow because of the significant increases in advanced packaging and thermal, while the mature node part of the semiconductor business has struggled a bit, and that's created kind of an abnormal flip of growth rates where the Interconnect business has seen accelerated growth, whereas we've still demonstrated strong growth from the semiconductor portfolio. But as we start to see broader recovery across the semiconductor market, I think it creates opportunities for us to see further growth from the full complement of technologies and customers in the portfolio as opposed to kind of what we're seeing today, which is mostly driven by the advanced nodes.
John Ezekiel Roberts: And then how will we get additional financials like the full balance sheet, full income statement? I'm not sure what your requirements are to file here.
Matthew Harbaugh: Yes. As Nahla mentioned in the prepared remarks, we will be filing in a couple of weeks, and we'll give you as much color as we can give you. So stay tuned.
Operator: And we will take our next question from Chris Parkinson with Wolfe Research.
Christopher Parkinson: Jon, even before the actual spin was announced, there were what many would classify as a bunch of false starts in terms of the recovery and kind of different ways to think about lagging edge memory, especially for the HBM, obviously ripping to the upside. I mean, as it appears things are turning fairly convincingly, including a lot of customer commentary last week, what -- is there anything you could point to that feels different in terms of the sustainability of the said recovery and how we should be thinking about building a little bit more confidence for '26 and perhaps even '27? Like what's different now versus 6, 12, 18 months ago? Anything specific that jumps to you?
Jon Kemp: Yes, Chris, maybe 2 things that I would point to. First of all, I think the industry is comfortable that inventory positions are cleared and that we're in a really healthy place from an inventory point of view. And that's -- I think that digestion took longer than anyone expected, but I think we're in a really good spot right now. And then the other thing I would say is this is the first that we've talked about it for a while, but I think this is the first time I've made comments where mature logic utilization rates have actually started to trend in the positive direction. So we've already started to see those utilization rates kind of trend up a little bit. Clearly, there's room for a lot more improvement from where we're at today, but it's the first time that we started to see those utilization rates start to tick up across the customer base. So those are kind of the 2 things that I would point to that give me more confidence. And then I would just say that a lot of the rest of it depends on some of the macro factors in the broader economy because a lot of those chips, as you know, are going to automotive and other applications in the broader industrial economy.
Christopher Parkinson: Got it. And just as a quick follow-up, you've had a lot -- I'm sure you're exhausted. You've had a lot of conversations with both the buy and the sell side over the last several months. What are the 1 or 2 most consistent areas of feedback that you're receiving? Is it about just, hey, just deliver results? Is it something on capital allocation, M&A, more focus on products and explaining those and getting kind of the idea of content and process steps across to The Street? Just what would be the 1 or 2 things that really stuck out to you basically saying like I need to do this as an independent company's CEO?
Jon Kemp: Yes. Thanks, Chris. I think -- again, I'd say there's probably 2 things. First of all, the conversations that we've had over the last several weeks have been terrific. I've really enjoyed the opportunity to get to know many of you, many of the folks in the investor community. It's been a real pleasure to be able to tell the Qnity story. I think the 2 pieces of feedback that we've heard pretty consistently is the importance of just focusing on steady, consistent results kind of set the guidance and then beat the guidance and that's certainly where we're focused as a management team is consistently delivering on the results to drive -- continue to drive the customer partnerships and deliver for our customers, maintain that business continuity. That's one of the things that I'm most pleased about. Even during all of the extra efforts around the spin process that we continue to deliver all of the customer orders and capitalize on opportunities for technology-driven growth, and we continue to have really nice win rates in the innovation portfolio. So job #1 is really kind of steady, consistent results and performance. I think the other thing that we've heard is a little bit, as people are starting to become more familiar with the portfolio, is really the way in which the 2 segments really kind of naturally fit together that I think has surprised a lot of people as they've gotten to understand. I think the semi segment was really well understood. There seems to be a lot of solid understanding around what that segment is all about. I think as people have gotten to understand the Interconnect segment and the benefit of advanced packaging and thermal solutions, the overlap across the customer base and the convergence of the technology road maps, I think the power of that integrated solutions and portfolio has really surprised a lot of people. And we've received a lot of questions around kind of how we're leveraging technologies broadly across the market to continue to drive new growth opportunities.
Operator: And we will take our final question from Alex Yefremov with KeyBanc Capital Markets.
Aleksey Yefremov: Congrats. I wanted to ask you about advanced packaging. We talked about node transitions in semis. Is there a similar dynamic where your customers are adopting new technologies where you can gain content and accelerate growth even more perhaps over the next 12 to 18 months?
Jon Kemp: Yes. Alex, I think a lot of the growth is -- we're going to see continued investment in growth from the existing technologies that we see today internally. CoWos or CoWos-like packaging on the logic side and then the migrations from whether it's HBM3 to 3E to HBM4, you'll see those migrations continue to proliferate over the next 12 to 18 months as we bring on more capacity into those kind of known architectures. And then I think there's other incremental opportunities that we're pretty excited about in things like where we're working with customers on opportunities like hybrid bonding or even potentially panel-level packaging. Probably a little premature to call when the timing of that would be, but we're certainly excited to continue to work with customers on their technology road maps with some of these more emerging packaging technologies.
Aleksey Yefremov: And then I think you gave explanation why sales grew faster than EBITDA this quarter. Is this the type of picture we should expect for the next few quarters or should it revert to sort of more typical EBITDA growth faster than sales over the next quarter or 2?
Jon Kemp: I think this is a little bit of an aberration. The currency dynamic and some of -- the mix dynamic and currency dynamic, the 3 factors that Matt alluded to earlier, I think, are a fairly unique situation. I wouldn't expect those to be structurally ongoing. So I think we see kind of a reversion to our usual typical cadence of performance that we talked about at Investor Day here going forward.
Operator: And we have reached our allotted time for questions. This concludes the call and webcast. You may disconnect your line at this time, and have a wonderful day.